Operator: Good morning and thank you for holding. Welcome to Aon Plc’s Second Quarter Earnings Conference Call. [Operator Instructions]. I would like to remind all parties that this call is being recorded and that it is important to note that some of the comments in today’s call may constitute certain statements that are forward-looking in nature as defined in the Private Securities Reform Act of 1995. Such statements are subject of certain risks and uncertainties that could cause actual results to differ materially from historical results of those anticipated. Information concerning risk factors that could cause such differences are described in the press release covering our second quarter results, as well as having been posted on our website. Now it is my pleasure to turn the call over to Greg Case, President and CEO of Aon.
Greg Case: Good morning everyone, and welcome to our second quarter 2014 conference call. Joining me here today is our CFO, Christa Davies. Consistent with previous quarters, I’d like to cover three areas before turning the call over to Christa for further financial review. I would note that there are slides available on our website for you to follow along with our commentary today. First is our performance against key metrics we communicate to shareholders. Second is overall organic growth performance. And third, continued areas of strategic investment across Aon. On the first topic, our performance versus key metrics, each quarter, we measure our performance against the four metrics we focus on achieving over the course of the year, grow organically, expand margins, increase earnings per share and deliver free cash flow growth. Turning to Slide 3. In the second quarter, organic revenue growth was 2% overall, highlighted by solid growth in our international retail brokerage and HR outsourcing businesses. Operating margin decreased 30 basis points as continued improvement in Risk Solutions, was more than offset by unfavorable currency and an anticipated decline in HR Solutions. EPS increased 13% to $1.25 reflecting underlying operational improvement, a lower effective tax rate and strong share repurchase. Finally, free cash flow increased 5% as solid underlying working capital performance was partially offset by higher cash taxes. Overall our second quarter results reflect continued underlying progress in effective capital management, marking the fourth consecutive quarter of double-digit earnings growth, despite industry and foreign currency headwinds. We’re returning a record amount of capital to shareholders, that’s highlighted by a return of $1.4 billion of capital through the first 6 months of 2014. While continuing to make strategic investments that will drive greater long-term growth, strong free capital generation and increase financial flexibility. Turning to slide 4, on the second topic of growth, I want to spend the next few minutes discussing the quarter for both of our segments. In Risk Solutions, organic revenue growth was 1% reflecting solid growth in retail brokerage, partially offset by an anticipated decline in reinsurance. As we discussed previously, we’re driving a set of initiatives that are strengthening underlying performance and positioning our Risk Solution segment for long-term growth and improved operating leverage. With management of our renewal booked portfolio through client promise and retention rates of more than 90% on average, highlighting strong client satisfaction in retail brokerage. New business generation of $280 million across our retail business highlighted by record new business in US retail and double digit new business growth in most markets across Asia and Latin America. Investments in innovative technology and service capabilities with the growth of GRIP and Aon Broking delivering increased operational leverage. And in our core treaty reinsurance business, net new business trends have now been positive for 13 consecutive quarters. An outstanding performance in today’s changing marketplace that reflects Aon Benfield’s long-term value proposition for clients. Booking on data, analytics and the application of excess capital in the industry, to previously uninsured risks. Reflecting on the individual businesses within Risk Solutions, in the Americas, organic revenue growth was 2%. Exposures continue to be positive across the region, while the impact on pricing was flat to modestly negative; we’ve all seen continued stable market impact. We saw growth across all regions, U.S, retail, Latin America and Canada, including continued growth across all major businesses, property casualty, health and benefits and Affinity. In U.S. retail, we saw solid growth turned by record levels of new business generation and strengthening in construction. In International, organic revenue growth was 3%, similar to the prior year quarter. Exposures are stable and the impact from pricing was modestly negative on average, driven by continued softness in many regions across Europe. Results reflect strong growth across Asia and emerging markets, driven by double-digit new business generation in many countries, with solid growth in a number of other markets, mainly New Zealand, Italy and the Netherlands. In Continental Europe, we’ve continued to deliver solid growth against sustained economic and market headwinds driven by strong management of our renewable portfolio. And while economic conditions still remain relatively fragile across many core markets; we continue to see signs of economic stabilization throughout the region. In reinsurance, as we noted on previous calls, we expect macro factors to be a headwind in 2014. Overall organic revenue growth was minus 4% and in-line with expectations. Results reflected anticipated unfavorable market impact in treaty and a decline in faculty replacements, which tend to be lumpy quarter-to-quarter. We saw strong growth in our capital markets transaction advisory business, as I mentioned earlier, positive net new business for the 13th consecutive quarter in treaty placements. As we’ve noted previously, reinsurance capital is at an all time high, and seasons are retaining more risk, driving an expected negative market impact, most notably in the US, but have an impact globally. Absent in an event in the industry, macro factors are expected to continue to be a significant headwind for the balance of 2014, with results lumpy quarter-to-quarter given the timing of growth and faculty replacements on our capital markets transactions and advisory business. Turning to HR Solutions, overall organic revenue growth was 2% similar to the prior year quarter, with growth in both consulting and outsourcing. Underlined performance in the second quarter reflects growth in areas where we’re making significant investments in the business, including pension risk and delegated investment solutions. These investments reflect Aon Hewitt’s client leadership, understanding an influence of market trends and the long-term issues that face our clients. As healthcare reform, healthcare costs and the associated financial risks continues to rise at a time when overall health and wellness is not improving; multinational clients are increasingly looking for global benefit solutions that support their global organizations, delivered at the local level. Managing and transferring risk against pension schemes are increasingly frozen and largely underfunded. Turning to the individual businesses within HR Solutions. In Consulting Services, organic revenue growth was 1%, a solid performance against the strong comparable of 6% growth in the prior year quarter. Underlying results reflect solid growth in U.S. retirement, primarily from investment consulting and delegated pension management services. As long as growth and talent solutions, which is benefiting from M&A and IPO activity. Results were partially offset by a modest decline in retirement in Continental Europe. Now onto Q1, results include an anticipated unfavorable timing of revenue in compensation consulting that will be recognized in the second half of the year. For the full year, we continue to expect low to mid-single digit organic growth across consulting services. In Outsourcing, organic revenue growth was 3% compared to flat in the prior year quarter. Growth reflects new client wins and benefits administration the projected revenue, driven by demand for discretionary services. For the full year we would expect stronger organic growth in outsourcing, when taking into consideration of seasonality of revenue recognition in the healthcare changes in Q4. Slide 5 highlights the third topic, areas of investment. Aon has a unique and strong track record of developing innovative solutions to help solve problems and create differentiated value in response to specific client needs. Solid long-term operating performance combined with expense discipline and strong free cash flow generation, continues to enable substantial investment in colleagues and capabilities around the globe. A few examples include, in Risk Solutions, we’re investing in client leadership with the international rollout of the Revenue Engine and Client Promise to drive greater productivity and efficiency. We’re investing in innovative technology, such as the Global Risk Insight Platform. GRIP is the world’s leading global database of risk and insurance placement information, now capturing 2.1 million trades and a $108 billion of bound premium. We continue to have a growing list of more than 30 insurance carriers; utilizing platform for its analytics and services capabilities and increasing number of clients are also adding strategic consulting services. In addition, we’re driving our Aon Broking initiative to better match client needs with insurer appetite for risk, as highlighted by our ability to package similar risks and place substantial programs and facilities into the market on behalf of clients. We continue to align our global health and benefits platform to better capitalize on our global distribution channel and deep brokerage capabilities. Furthermore we’re developing analytics to create globally consistent actuarial valuation and benchmarking models for health and other employer sponsored benefits. We’re also investing in the further development of data and analytics capability at Aon Benfield to strengthen an already industry-leading value proposition and client-serving capability. A great example of this is our Impact Forecasting Center, the only catastrophe modeling center integrated into our global reinsurance broker. Another example of this is Freddie Mac where we’re bringing insurance capital to bear against mortgage risk in the U.S. Finally we’re expanding our footprint through over $500 million of tuck-in acquisitions so far in 2014 that either increased scale in emerging markets or expand capability to better serve clients. Year-to-date we’ve completed seven acquisitions in the areas including flood, employee benefits and consultancy, spread in multiple geographies including the U.S., UK and the Pacific region. In HR Solutions, we continue to invest and innovate solutions in high growth areas. We’re expanding solutions to de-risk pension plans and are seeing tremendous growth in our delegated investment solutions, which fulfill our clients’ needs for faster execution of their investment strategies. We’re also providing a broader set of advisory and advocacy solutions to our clients’ employees, to enable greater choice and improve decision making under retirement options, especially important is regulatory changes around the world require more involvement from individuals. We continue to make significant investments to support future growth and strengthen our industry leading position in health exchanges for active employees and retirees. As part of our comprehensive portfolio of health solutions, covering the full spectrum of benefit strategies. As we progress through the sales cycle, we feel good about the pipeline. We’re focusing on client and employee satisfaction during the upcoming global period. And we would anticipate a solid mix of both new and existing clients with a broader range of industries participating. We look forward to updating you on our progress later this year when our primary sales cycles has ended. We also continue to invest in our industry leading benefits and administration solutions and technology platforms, including extensive mobile solutions and cloud based outsourcing solutions. And finally, we’re strengthening our international footprint to support our global workforce, with investments in key talent and capabilities across emerging markets. In summary, our second quarter results reflect strong earnings growth of 13% including growth in each segment, underlying operational improvement and effective capital management, despite challenges from both foreign currency translation and market impact. We’re firmly on track to deliver continued growth across each segment, operational improvements and returns on investments. And significantly increase financial strength in 2014. With that said I’m now pleased to turn the call over to Christa for further financial review.
Christa Davies: Thank you so much Greg and good morning everyone. As Greg noted, our second quarter results reflect underlying operational improvement, double-digit earnings growth for the fourth consecutive quarter and effective allocation of capital, highlighted by the repurchase of 650 million of ordinary shares in Q2. I would note this is more share repurchase than we’ve done in any quarter since 2008, reflecting our long-term belief and the strengthening free cash flow of the firm. Now let me turn to the financial results for the quarter on page 6 of the presentation. Our core EPS performance excluding non-cash intangible asset amortization increased 13% to a $1.25 per share for the second quarter compared to a $1.11 in the prior year quarter. Results from the quarter reflect underlying operational improvement, a lower effective tax rate and strong share repurchase. In addition, foreign currency translation had a $0.03 unfavorable impact on EPS in the quarter due primarily to a weaker dollar versus the British pound. Its currency to remain stable at today’s rates, we would expect a similar unfavorable impact in both Q3 and Q4. Now let me talk about each of the segments on the next slide. In our Risk Solutions segment, organic revenue growth was 1%, operating margin increased 20 basis points to 22.7%, and operating income increased 1% versus the prior year quarter. Margin expansion in the quarter was driven by modest organic revenue growth, return on investments and underlying expense discipline, partially offset by a $15 million or minus 80 basis points unfavorable impact from foreign currency translation. Excluding foreign currency, adjusted operating income increased 5% and operating margin increased 100 basis points. Let me spend a moment on the formal restructuring programs, key initiatives that have enabled concurrent funding of investments and long-term structural margin expansion. Under the Aon Hewitt program, approximately $99 million of estimated savings will be achieved in Risk Solutions. Approximately $88 million of the cumulative savings have been achieved under the program to-date, with the remaining $11 million to be achieved by the end of 2014. We have incurred a 100% of the charges necessary to deliver the remaining savings. Overall in the second quarter, we delivered solid underlying operating performance in Risk Solutions, despite challenges from foreign currency translation and an unfavorable market impact in reinsurance, demonstrating solid underlying progress as we generate returns on our investments and manage expenses. For the first six months Risk Solutions margins were up 70 basis points including a minus 40 basis point unfavorable impact from foreign currency, placing us firmly on track for margin improvement for the full year and continued progress towards our long-term target of 26%. Turning to the HR Solution segment, organic revenue growth was 2%, operating margin decreased 170 basis points to 13.2% and operating income decreased 8% versus the prior year quarter. Modest organic revenue growth and restructuring savings in the quarter were more than offset by an anticipated increase in expense to support future growth in our healthcare exchange business. We also had an unfavorable impact from timing of certain revenue in our consulting business, similar to Q1. In our second quarter, results were exactly in-line with expectations and management’s guidance previously provided to the HR Solutions business. With respect to the Aon Hewitt restructuring program, approximately $294 million of the $303 million in total cumulative savings have been achieved under the program, with the remaining $9 million to be achieved by the end of 2014. As discussed previously we provided commentary regarding the outlook for the HR Solution segment in 2014 and that outlook is unchanged. For HR Solutions in 2014, we expect to – number one, deliver organic growth, number two, generate greater scale and improved returns from investments; three, deliver remaining savings and related to the restructuring programs; and four, deliver greater than mid-single digits operating income growth and further margin expansions towards our long-term target of 22%. Overall, we are firmly on track for greater than mid-single digits operating income growth in 2014 with Q1 and Q2 down as expected. We expect to be up in the second half of the year with the patterning unchanged, relatively flat in Q3 and up substantially in Q4 related to strong organic growth driven by healthcare exchanges. Now, let me discuss a few of the light items outside of the operating segments on slide 9. Unallocated expenses decreased $3 million to $41 million, interest income was similar at $2 million, interest expense increased $17 million due to an increase in total debts outstanding in the second quarter and cost associated with certain derivative hedging programs. Other expenses $2 million primarily including $5 million of net losses due to unfavorable impact of foreign exchange rates on the re-measurement of assets and liabilities in nonfunctional currencies, partially offset by gains on certain long-term investments. Going forward, we expect a run rate of approximately a million dollars per quarter of interest income, $45 million of unallocated expense and $66 million interest expense per quarter. Turning to taxes. The effective tax rate on net income from continuing operations was 17.5% compared to 26.4% in the prior year quarter. The effective tax rate in the second quarter of 2014 was favorably impacted by changes in geographic distribution of income and certain discrete items. As previously noted, potential unfavorable discrete tax adjustments in the second half of 2014 could cause the effective tax rate for the full year 2014 to be higher in the 18.3% effective tax rate reported in the first half of 2014. Lastly, average diluted shares outstanding decreased to $301.6 million in the second quarter compared to $317.1 million in the prior year quarter. The company repurchased $7.4 million Class A ordinary shares for approximately $650 million in the second quarter. The company has 1.6 billion of remaining authorization under its share repurchase program. Actual shares outstanding on June 30th were $291 million and there are approximately $8 million additional diluted equivalence. Estimated Q3 2014 beginning diluted share count is approximately 299 million subject to share price movements, share insurance and share repurchase. Now let me turn to the next slide to highlight our strong balance sheet and cash flow on page 10. At June 30th, 2014 cash and short-term investments were $726 million. Total debt outstanding was approximately $6 billion and overall debt-to-capital increased to $43.6 billion at June 30th compared to 37.4% at March 31st driven by an increase in total debt outstanding at the end of the quarter. However, I would note that at June 30th the company held $681 million as a deposit with the trustee included in other current assets in the balance sheet, which was used subsequent to the close of the quarter to repay $681 million of notes due July 1st. Following this repayment, total debt outstanding was approximately $5.3 billion and overall debt-to-capital was 40.6%. Cash and short-term investments remain at $726 million. In Q2, cash flow from operations increased 3% to $344 million driven primarily by solid underlying working capital performance, partially offset by higher cash taxes and organic revenue growth. Free cash flow as defined from cash flows from operations less CapEx increased 5% to $284 million in the second quarter driven by an increase in cash flow from operations and a $2 million decrease in CapEx. Turning to the next slide to discuss our significant financial flexibility. We value the firm based on a free cash flow and allocate capital to maximize free cash flow returns. There are three primary areas that will contribute to our goal of doubling free cash flow to more than 2.3 billion annually within the next three to five years. From the graph in the presentation based on current assumptions, we expect annual free cash flow to increase by over $600 million over the next five years based only on a reduction in cash use of pensions and restructuring. Combined with growth in the goal business, further margin expansion and a reduction in the overall effective tax rate we are well on track to achieve our expectations with a substantial cash flow generations. Regarding our underfunded pension plan, we have taken significant steps to reduce volatility and liability as we’ve close plans’ for new entrants both in plants from accruing additional benefits and continue to de-risk certain plan assets. We currently expect contributions to decline by roughly a $138 million to $385 million in 2014 and continue to decline thereafter. Regarding our restructuring plans, cash payments were a $152 million in 2013, as all charges related to restructuring program have now been incurred we would expect cash payments to decline by $54 million to approximately $98 million in 2014 and continue to decline significantly each year thereafter. In summary, we delivered strong earnings growth and underlying operational improvement in the second quarter. We are firmly on track to generate more than $2.3 billion of annual free cash flow over the next three to five years. Combined with a strong balance sheet and significant financial flexibility, we continue to strengthen the firm through significant shareholder value creation in 2014 and beyond. With that, I’d like to turn the call back over to the operator for questions.
Operator: [Operator Instructions] Thank you. And our first question comes from Elyse Greenspan from Wells Fargo. Your line is open.
Elyse Greenspan – Wells Fargo: Hi, good morning. I was first hoping to start off just in terms of more commentary in terms of the reinsurance market, it just seems like a sharp shift to go from the 3% growth you saw last quarter to the 4% decline this quarter and I know the competitive dynamics have seemed to intensified a bit, if you can just talk about what’s specifically changed in the second quarter a little bit more, and then also in terms of an outlook for the balance of the year, would you look for a similar decline in about that 4% range; I know you mentioned some one-time items that are – to negatively impact that number in the quarter?
Greg Case: Couple of thoughts on this. First, let’s think about sort of the evolution on the reinsurance side it has been – we’ve talked about, we’ve been talking about this last couple of years, is we talked about first more capital in the industry, we’re an all-time high, little over $550 billion at the end of Q1 ‘14, and against that we knew that there would be pressure and pressure movement on price and there certainly has been, and again largely as expected. A little maybe more in this quarter, as we said before, there is a little bit of lumpiness looking back at the business, but we expect to be offset to the balance of the year. So, generally as we said before, overall pressure in the overall market, what we would also highlight though as we’ve been talking about – look at the end of this day this is really about helping match capital with client need and while this brings about some challenges, it also brings about lots of different opportunities, as you think about some of the opportunities in the insurance linked security world, and the cap on world really bringing capital and do things we haven’t done before as we’ve have done with Freddie Mac, the example I gave in my commentary. So we would say that on balance there is pressure, no doubt. There will continue to be pressure on the second half of the year but it also marks with an opportunity. For the first time ever, we are starting to see the retentions which were going up start to actually stabilize as clients see more opportunity they have seen before to actually utilize our reinsurance capital. So, we see the market pressure. I would continue to put in context though, if we look at our overall Risk Solution business and in the context of our Risk Solutions business, we finished the first half of the year with the market pressure and with the FX pressure having grown the business, increased margin and we fully expect that to continue. We believe as much conviction now we had at the beginning of the year, but our team will finish the year with organic growth and Risk Solutions and with margin expansion Risk Solution irrespective of the other pieces. So that’s roughly where we are.
Elyse Greenspan – Wells Fargo: Okay, thank you. And then in terms of the share repurchase we saw the level remained kind of elevated from where you trended last year and the first two quarters of this year, and then in the second quarter I know you guys did issue some incremental debt on, so I was wondering how that played into your decision surrounding share repurchases, and where you would kind of look for that number on a quarterly basis from here?
Christa Davies: So as always the least, we evaluate all forms of capital usage based on return on capital, share repurchase was high in the first half, but it will be in the second half, due to incremental leverage in Q2 as you said we did, you know, raise that quite substantially. And we also utilized cash from the balance sheet at year end 2013. And so those two things really meant that our share purchase in the first half will be much higher than the second half. We are leveraging the opportunity as we grow free cash flow to continue to deploy capital in the highest return opportunities for shareholders, and share repurchase remains the highest ROIC usage. As cash flow continues to grow, you’ll expect us to redeploy capital on our return on capital basis.
Elyse Greenspan – Wells Fargo: Okay, thank you. And one last question, in terms of a tax rate, I know you guys mentioned last quarter about 200 to 300 basis points benefit from discreet adjustments was the level the same this quarter. And then also, if we’re looking at a quarterly basis, are there any quarters that we tend to potentially have a higher tax rate to exude as a revenue for instance, when the healthcare exchange business comes on in the fourth quarter, will we potentially see the tax rates just from that business coming on, kind of kick up in the fourth quarter?
Christa Davies: As we think about the tax rate Elyse, for the full year 2014, what I would say is our first half 2014 tax rate was 18.3%. As we discussed in Q1, we do expect potential unfavorable discreet tax adjustments in the second half of 2014, could cause the rate to be higher for the full year 2014. We’re not giving specific items for full year 2014, what we can say is, full year 2013 rate had 200 to 300 basis points unfavorable impact from discreet items.
Elyse Greenspan – Wells Fargo: Okay, thank you very much.
Operator: Thank you. And then our next question comes from Jay Cohen from Bank of America, your line is open.
Jay Cohen – Bank of America: Yes, thank you. You talked about some timing issues in the HR Solutions business, which hurt the revenue comparison should help in the second half, can you quantify that?
Christa Davies: So as we think about, it was really on the consulting side Jay, it was in our compensation consulting business. And it really decreased organic revenue growth in both Q1 and Q2. And so if you normalize that consulting organic revenue growth it would be somewhere around 3% to 4% in both Q1 and Q2, and what you’ll see Jay is that will show up in the second half of the year. And so if we think about our consulting organic revenue growth for the full year, it’s really in the low to mid-single digit organic revenue growth, it’s exactly where we think it should be. And it’s really is a patterning issue between Q1 and Q2 in the second half of the year.
Jay Cohen – Bank of America: That’s helpful. And then secondly, you guys have done a good job of de-risking the pension obligations, but we have had a drop in interest rates. Have you done enough work so that drop in interest rates this year, shouldn’t have a big impact on your pension expense going forward?
Christa Davies: As we think about pension expense Jay, we definitely think that pension expense for 2014 is immaterial and we expect that to continue. In terms of the work we’ve done in our pension plans, they certainly are closed, they’re frozen and they’re de-risked. As you know, we measure our pension, liabilities at year end for 12-31-2014, and at that point we’ll look at asset returns, discount rates and locality are the three biggest drivers. Pension expense rise is a lot less volatile as a result of the closed and frozen and all the work we’ve done on our pension plans.
Jay Cohen – Bank of America: Right, thanks Christa.
Operator: Thank you. And our next question comes from Vinay Misquith form Evercore, your line is open.
Vinay Misquith – Evercore: Hi, good morning. The first is, could you give us some color on the slowdown in the organic revenue growth in the risk in insurance segment in the Americas?
Greg Case: Yeah sort of back up, is we didn’t go to the overall instead of putting in the overall commentary. We saw organic growth in the Americas on the retail side we’re actually at 2%, very, very strong in business generation in the U.S. retail, for example a record levels of new business generation. So really overall across the property and casualty, health benefits in Affinity, we saw growth U.S. retail, Latin America and Canada. So from our standpoint we have very strong prior year comp our view is, the year’s progressing very, very fine from a retail risk standpoint and we expect the year to finish well also. And again, if you step back and look at the sort of overall Risk Solutions our risk business more than offset some of the challenges on the reinsurance side, we talked about it. For us, it just reflects what Aon’s all about; we’re an incredibly diverse business, geographically, product, client segment, etcetera. And that showed up in the first half of the year on the Risk Solution side as well as showed up in the Americas too.
Vinay Misquith – Evercore: What do you think should be the normalized organic growth in the Americas?
Greg Case: Yeah, we’ve essentially talked about low to mid single-digits overall and that’s roughly how we see things will be playing out.
Vinay Misquith – Evercore: And was last year’s second half very strong, and so should we see a slight slowdown versus last year’s second half?
Greg Case: Yeah I would – plus or minus. If you look at this over the course of a year, so from us again I would say for the year, low to mid single-digits and that’s roughly what we’ve been able to achieve. I would also say as we’ve invested in the business or able to actually improve margin at lower levels of growth, we’ve got more leverage, operating leverage in the business. So that’s why we’re comfortable as we look at Risk Solutions overall, to say we’re going to grow organically and we’re going to improve margins in the face headwinds we talked about before. It’s an evolving business and our belief a stronger business than it was a year ago and a year before that.
Vinay Misquith – Evercore: Okay great. The follow-up is on margins in that segment, so those improved I believe 60 basis points for the first six months if you exclude the restructuring savings and if you exclude the FX headwinds. Do you think that pace of margin expansion can increase over time if your organic growth picks up a little bit?
Christa Davies: Here’s what I would say, we think about Risk Solutions margin for the first half of the year is 70 basis points, because we certainly include the restructuring savings because we’ve worked very hard to achieve those. And included in the 70 basis points was negative 40 basis points of FX impacts for the first half of the year, so underlying operational margin expansion of 110 basis points for the first half of the year. As we look at the second half of the year, we see that the FX impact on Risk Solutions margin will remain similar at minus 40 basis points. And we do believe that we’ll drive Risk Solutions margin expansion with the full year driven by the investments we’ve made in GRIP and the return they’re getting. Aon Broking and continue to expense discipline. And we do believe we’ll drive Risk Solutions margin expansion to full year 2014 and on track for our 26% long-term Risk Solutions target.
Vinay Misquith – Evercore: Okay, thank you.
Operator: Thank you. And our next question comes from Brian Meredith from UBS, your line is open.
Brian Meredith – UBS: Hi, a couple of questions. First Greg, I was hoping you could expand a little bit on what’s going on with the corporate healthcare exchanges is and just what the pipeline is looking like, I know you kind of gave us couple of comments. And then specifically how it’s going on with the corporate, with respect to the Medicare and how that’s going as well?
Greg Case: Overall this is, we feel very good about the pipeline. As I emphasized before, for us it’s very much about focusing on clients, employee satisfaction as we go into Q4 enrolment. So that’s been absolute focus of our team, we’re very excited about some of the progress there, that’ll be our priority, but against that backdrop, pipeline’s been exceptional. And by the way, a very solid mix of new and existing clients, we’re very pleased with the industry breadth, it’s a much, much broader mix and continues to broaden. We’re also pleased with the fact that over half the clients we’re seeing are new in our cost of profits. So for us, we feel really good about the pipeline, as I said before, we’re looking forward to updating you all later in the year, once we complete the enrolment, the sales cycle I should say. But net-net we feel very, very good about the overall progress. And then on the retiree side, also equally positive, we’ve got to value proposition that is literally really focused on the retiree and exactly what they’re experience is like. And we invest heavily to sort of make that happen, as a result of that valued proposition; we’ve been very privileged to be able to serve some of the largest, including the largest client in this space. And so for us, that value proposition we’re truly focusing on the retiree experience, and has proved out very, very well. So we would say, another quarter of continued progress on the exchange front, recognizing by the way as we said before Brian, the exchange world fits into a much broader world today on Hewitt when you think about what we do on the benefit side, 7.5 million active employers in our Ben Admin business and another 2 million retirees sort of in the Ben-Admin business. So it’s a business we know well, now augmented and reinforced by what we’re doing on the exchange front, so that’s the background.
Brian Meredith – UBS: And on that topic, are you still seeing a pricing pressure in the Benefit Administration business?
Christa Davies: We are Brian, and it’s very much what we expected, it’s slightly less than what we experienced last year. So it’s mitigated slightly, but we expect that trend to continue.
Brian Meredith – UBS: Great, and last question, I’m just curious. On the reinsurance business, as there’s more and more of the capital markets activity that kind of picks up here, is that going to have a long-term depressing effect on your margins in net business?
Greg Case: As we step back – it’s in a day for us, it really is about bringing capitals to bear on client needs. And as we said before we don’t think about the sort of product or product basis, which is why in the end we invest behind this business and are very strong believers in the opportunity for our clients in this business. It’s why we’re number one in treaty, number one in facultative, number one – in the cap on insurance link security world. We think all the whole compliment as you bring it to bear on behalf of clients it creates potential great client value. Our view is recurring client value you know, our compensation will take care of itself overtime. Even though you’ve got sort of inter digital moves on specific product areas up and down, some recurring, some not recurring all the pieces that go into that. Our view is the opportunity here is substantial. Even equally exciting is the fact that we see opportunities to really move beyond, it’s just the core demand. So the things we’re doing bringing capital to bear in areas, as I described before, in the mortgage arena in the U.S. we’re really excited about. We’re excited for our clients, so for us, we’re very optimistic about the business long-term and feel like the opportunity to serve clients and create value for them is quite high. And our capability against that demand is also quite strong, based on all my colleagues leadership, so we’re optimistic and we don’t think about it product by product.
Brian Meredith – UBS: Thank you.
Operator: Thank you. Our next question comes from Ryan Barnes from Jamie your line is open.
Ryan Barnes – Jamie: Great. Thanks for taking my call. I just had a couple of questions. You guys recently closed on a flood acquisition, just wondering if you guys could give any parameters there or maybe the size of the transaction. And maybe also the margins, because I know one of your competitors recently purchased the flood company and very strong margins in that business.
Christa Davies: So personally just a technical thing we have signed, but we have not completed closing yet. And we haven’t disclosed the price, but I think we’re very proud of the content and capabilities that we’ve acquired to deliver value to clients and Greg you may want to talk more about the actual acquisition.
Greg Case: Yeah I think again just another example of sort of building capability in content in area we know well and we like our great deal. So this is really is a group that’s going to strengthen our ability by outsourcing services really flood placement and claims to insurance carriers. It’s part of a broad range set of programs. So we’re very excited about it and feel like it’s going to add content and capability in terms of sort of what we’re doing. It is in – back to the context we’ve completed seven acquisitions in 2014, again all of these have the same theme. How do we strengthen content capability or broaden our geographic footprint to the extent that strengthens content capability. And NFS, National Flood Services were just one example around that.
Ryan Barnes – Jamie: Okay and then lastly you guys mentioned that there was a higher cash tax payment was the headwind for free cash flow, just wanted to figure out what caused that. And should that be, should we expect that to go away going forward?
Christa Davies: Yeah I would describe that as just lumpiness quarter-to-quarter. And it really is a timing item related to prior years. And so I would not expect that to continue.
Ryan Barnes – Jamie: Okay, great. Thanks.
Operator: Thank you. Our next question comes from Meyer Shields from KBW. Your line is open.
Meyer Shields – KBW: Greg you talked about a number of areas I’m thinking like US retail that is doing very well in terms of generating growth. Are the areas that are underperforming are they – have they been consistent over the past year or so, or is there some sort of shift?
Greg Case: Yeah we’d say from our standpoint yet again one of the things that, that we’re very proud of and we’re excited about is really the global capability of Aon. And you may think about – we’re in many respects we’re a global focus group we’re in every country in the world, 122 countries. We serve a range of all the segments, large, medium size or smaller all types of sectors, all types of client’s etcetera. And that really does Meyer, in our respect sort of clear the level of stability that we think from an investor standpoint should be a very much a positive for you. So things have been flown, some areas, strong in some respects, loss in other respects you think about it 2.5 and three years ago we were talking about the strength of Europe and weakness of the U.S. and now that’s kind of shifted when you look at underlined insured values. Little strong in the U.S. dollar, little weaker in Europe, it really does create for us a truly stable, relative stable set of opportunities. Its why, as we reflect on the year and the progress for the first six months we feel very good about the progress, it’s very consistent we thought it would be. We push through the first six months grown, improved margins – context of an up and down market you could pick any specific area around the world, but we’d essentially as Christa described, we increased margin by 70 basis points including 40 points of FX so that’s over 100 basis points improvement. So for us certain things do have a flow, if anything stays down for a long time you can expect – but overall feel really good about Risk Solutions and some of the progress we’re going to be able to make.
Meyer Shields – KBW: Okay, thanks. And Christa when you look at the intangible asset amortization schedule, so there were increases in the forecast for Risk Solutions in 2015 and beyond really is that related to the flood acquisition or is that a change in sort of anticipated future acquisitions.
Christa Davies: Yes. No it’s not related to flood acquisitions; we’ve not yet closed that. It is related to other acquisitions that we’ve made in the first half of the year as Greg described.
Meyer Shields – KBW: Okay but there are no, when you put up this number. This doesn’t anticipate acquisitions that haven’t been closed yet?
Christa Davies: No it does not.
Meyer Shields – KBW: Okay. Thank you.
Operator: Thank you. Our next question comes from Adam Klauber from William Blair, Your line is open.
Adam Klauber – William Blair: Thanks. Good morning everyone. The growth in consulting expenses in the first six months how much of that growth would you attribute to the healthcare exchange investment. And can you give us more of a detail idea what that investment is actually going to?
Greg Case: Overall a large portion of the expense investment really is bringing online a number of our clients on the healthcare exchange sides as we said before. And it really is going to match the sort of – it really is across overall Aon Hewitt as we think about sort of what we’re doing. It was what I’m describing, so that’s the biggest part of the investment across Aon Hewitt in the second quarter getting prepared for year end.
Adam Klauber – William Blair: Okay. Another question in HR Solutions, I know in the past you’ve talked about – you’ve had some success helping, helping corporations de-risk retentions. How does the pipeline look to do more of this type of transactions?
Greg Case: Yes we said before – and Chris can talk about this as a client as well, in terms of what we’ve been able to do, but it’s more than a little success. We’ve actually had substantial success. One of the exciting parts about what we’re doing on the consulting from a growth stand point really is our retirement business really across the board. And that’s in delegated investment solutions, investment consulting overall, but also a sort of pension de-risk involved that’s really has been quite exceptional. And so we’ve got a broad range of clients, as we said before, all of whom have the issue around making sure they need their obligations for employees, but do it in a way that, that helps them address obviously the capital challenge, the expense challenges and the substantial volatility challenges which come with that which is – and our team’s just done an exceptional job there and that’s why we’ve dealt so well in this space.
Adam Klauber – William Blair: How is the pipeline of business going forward there is, how’s that looking?
Greg Case: Well it turns out if you travel the world it’s really strong. If you travel the world, there’s still a whole range of underfunded pension funds that have to be addressed by companies. And there the priority for them is as high as ever around trying to get that done. And we see tremendous opportunity in that going forward.
Christa Davies: And one of the other things we’d say is that the pace of regulatory changes is accelerating and that’s creating opportunities to work with our clients on the impacts of their pension plans. The U.S., the UK and Canada have all had recent regulatory changes proposed or implemented. And we’re addressing areas such as the pension risk as Greg described, lump sum windows, liability driven asset allocations and planned designs. And I can certainly say as a client its one of the best parts of the Aon Hewitt acquisition, is having the team of – from AON Hewitt actually help us navigate through our pension challenges and they’ve done an exceptional job.
Adam Klauber – William Blair: Great. Thank you very much.
Operator: Thank you. Our next question comes from Paul Newsome from Sandler O’Neill. Your line is open.
Paul Newsome – Sandler O’Neill: Good morning. And thanks for the call. I was hoping you could talk a little bit more about your financial leverage as we look out over the next couple of years and maybe the relationship between coverage ratios. And it looks like – you tell meif I’m wrong, that you would probably be raising more debt as the pension liability goes down as well. Is that fair assessment?
Christa Davies: Yeah, so Paul, we would say that we certainly as we grow EBITDA and grow free cash flow, we do expect to sort of grow leverage overtime. And obviously as the pension on some of the liability comes down, that creates further opportunity. We’re very proud of the fact that we’re able to take advantage of the market and increase leverage during the quarter. And in particular do 550 million of that 800 million U.S. debt placement at 30 year, which is managing liquidity in a very good way for shareholders. And so we will continue to manage our current investment grade rating, it’s very important to us for our clients and for the future financial flexibility around leverage and coverage ratios, to ensure that we continue to manage those. As you said, as free cash flow and EBITDA grows and then as the lumps on pension liability comes down we expect to increase leverage over the coming years.
Paul Newsome – Sandler O’Neill: And then just to be careful on the reinsurance fund separately, last quarter, I think you said that you expected organic growth for reinsurance for the year to be sort of flat to positive, is that outlook changed?
Christa Davies: Yeah, I think from our standpoint as we reflect sort of think about through the, where pricing was market pressure was, sort of in the mid-term renewals, we would see slightly more negative than that at this point in time just given where things have played out, but we still step back and say, to be really clear, in the Risk Solutions overall that has it, essentially we are going to grow that as organically across the board and improve margin. And so this is really back to a question from before, sort of our overall portfolio, at some point of time we’ll be talking about the robustness of the reinsurance and pressures elsewhere at this point, little more pressure than we expected, but not unmanageable and we expect, as I said, have growth in Risk Solutions throughout the year with improve margins.
Paul Newsome – Sandler O’Neill: Thank you very much.
Operator: Thank you. Our next question comes from Michael Nannizzi from Goldman Sachs. Your line is open.
Michael Nannizzi – Goldman Sachs: Thanks. Greg, maybe – kind of trying to square you mentioned North America new business is very strong and you talked about retention there, it looked like organic, though organic was 2%, that was little bit less than kind of we are looking for, so I am just trying to square lower organic growth with your really strong new business and that return to mid years maybe there’s a plug missing there? Thanks.
Greg Case: There isn’t too much – again there’s not that much of a difference in terms of the overall sort of decline as you’re describing a point, but we look at a couple of things as we lay them out, Michael, one is we are the underlined sort of what’s the good quality, what’s going on in the business, and that’s what we’d say before, new business was as, all time high. It was up substantial, it was up substantially. Renewals were also strong. When you look at something called rollover which is literally not just retaining the client, retaining the business but also how much is bought or what it looks like, and if you think about that, that’s – with the rollover’s decline slightly. If you look at pricing, overall, we basically look at exposure times rate, that gets you to something we call market impact. And market impact, it was down a bit, not hugely, but if you think about last four quarters just to be precise and we can’t with GRIPs. So this is exactly what’s reflected in our system, it’s actually or cross our entire system, I’ll just go in that direction. We were 0.83 in Q3 2013. In Q4 2013 0.92, in Q1, 2014 0.24 and we are down a little bit in Q2 2014 so, roughly at the same place. So, in essence we’re seeing a bit more of marketing that is not substantial, it’s not like we are seeing on the reinsurance side but it’s there and sort of affects overall performance.
Michael Nannizzi – Goldman Sachs: Got it. And I guess, you mentioned GRIP, a bit there as well and I am just curious over this period of time where we’ve seen some softness particularly on the reinsurance side, how much has your insurer take up a GRIP increased. I would imagine that potentially as insurance companies are maybe more aggressive about trying to get business that platforms like GRIP could see, bigger takeaway, have you seen any of that corresponding or is it been sort of a continuation of an adoption trend that you saw, two years ago or something like that?
Greg Case: It’s been a continued trend. We haven’t tried to push it, what we do is with GRIP, it’s very clear, we’ve got more than 30 markets where we are fully engaged on the GRIP platform now. This is very much around matching their capital with client need. Obviously we guarantee nothing but we do as we put them in a position where they can actually add value to our clients than a more précised and sustaining way and that actually creates significant opportunity for them. That’s the value of proposition behind GRIP. That’s worked very, very well continues to work very well, and our carriers get, we believe tremendous value out of it because our clients get tremendous value out of it. So from our standpoint we continue to grow the business, we continue to add on the wise component around it to truly help carriers add value not just in areas around coverage, new laws what they provide at the marketplace. So from our standpoint, we are very pleased with the progress of GRIP, it continues, and we think it’s a way to use data and analytics to help clients, make choices would be different and our markets bring things to – on behalf of clients that are different. And so, for us it’s been positive, we think that will continue.
Michael Nannizzi – Goldman Sachs: And how relevant of a tool is that to potentially offset the negative impact of pricing in certain markets as far as your margins are concerned?
Greg Case: Well, from our standpoint as Christa said, the margin improvement for Aon is really a function of, we’ve created greater operating leverage for our business and we’ve done it through Aon Broking and all the things we do as far as we think about our pricing premium on behalf of clients. We’ve done it through GRIP, we’ve done it through expense reduction. And so from our standpoint all things sort of contribute to this. These are fundamental investments to change the way we go about the business and in turn help our clients and in turn Aon improved margins at lower overall growth. And so in the end for us, that’s why we believe this is really an opportunity to see our investments pay off, and it’s why as I said before, Risk Solutions, we believe will organically, we will improve margins in the face of whatever, where the headwinds are out there. Specifically now to your question, the biggest driver, one of the biggest drivers of margin improvement’s going to be, is going to be component like GRIP.
Michael Nannizzi – Goldman Sachs: Great. Thanks. Thank you very much.
Operator: Thank you. Our next question comes from Josh [indiscernible] from Deloitte. Excuse me.
Unidentified Analyst: [indiscernible] from Deloitte now. Hello, everyone, how are you?
Greg Case: Hey, Josh, we will get that name right.
Unidentified Analyst: No worries, no worries. Maybe, – look I understand that Christa is not going to give any guidance around the discreet tax movements but maybe you could educate me a little bit on cash taxes versus GAAP taxes. And are the numbers coming through on tax and related to cash paid and there is some a steadier number if we looked on a GAAP basis or incurred basis, I am no tax expert but maybe you can teach me a little bit?
Christa Davies: Yeah, so here’s what I would say Josh, as you think about the cash taxes we are paying you really need to look at it over multi-year period of time, because a lot of what we are paying out in cash taxes today, a resolutions of prior years. And so, there always is going to be a lag between what gets reported in GAAP taxes and what’s gets reported in cash taxes. So I hope that helps.
Unidentified Analyst: Net-net, can you tell me if the deferred tax liability on the balance sheet is rising as you have these low tax quarters?
Christa Davies: I actually – I am not sure I can answer that question?
Unidentified Analyst: Okay. Well that was my only question. I appreciate it, thank you.
Christa Davies: Thank you.
Operator: Thank you. Our next question comes from Kai Pan with Morgan Stanley. Your line is open.
Kai Pan – Morgan Stanley: Good morning. Thank you for taking my call. Just pulling off the tax, you said the – in 2013 the effective tax rates 200 to 300 basis points higher if you exclude the unfavorable discrete items, so to that point the underlying tax rate about 22% and in the first half with all these discrete items your tax rate is 18%, I just wonder if you look back and see the downside to the UK, your tax rate at that time is it like 28%, you said you could improve more than 500 basis points, by now, are you already exceeding that target, just wonder going forward, will that 18% tax discrete item be a run rate or it could have been to improve further?
Christa Davies: Yeah, so what we said at the time we moved to the UK in 2012 was originally more than 500 basis points, so, if you took a $0.29 is attractive 500 basis points you get $0.24, then you do more than 23, more than 22, which as you pointed out is roughly the underlying rate for 2013. And really what we said for 2014 is that 18.3% which is the first half tax raise, it’s more than likely that we’ll expect unfavorable discrete tax adjustments in the second half that could cause the rate to be half of full year 2014. And while we are not giving guidance for ‘14 the full year 2013 rate did have 200 to 300 basis points of unfavorable impacts from discrete items. In terms of future year guidance which unfortunately, at the time we are not giving out future year guidance.
Kai Pan – Morgan Stanley: Thanks for that. And then on the acquisition it looks like it’s picking up a little bit, so I think that 2010 can, I just wonder have that changed your capital margin priority between buybacks and acquisitions?
Christa Davies: Absolutely not, as we said earlier, we evaluate all forms of capital usage based on return on capital, share repurchase remains the highest return on capital usage for the company which is why you saw us do $650 million in Q2 and $1.25 billion of share repurchases in the first half of the year. It’s some of the highest about the share repurchase we’ve done in the company’s history. As Greg said, we’ve actually returned $1.4 billion on capital through share repurchase and dividends in the first half of the year. And really what you see us doing is for us to actually allocate capital M&A, it has to have a higher ROI seasoned share repurchase. And we have done some fantastic concurrent capabilities to deliver to clients, NFS – employee benefits certain terrific concurrent capabilities out there, that have substantial return on capital associated with them, but under no circumstances has our capital allocation process changed.
Greg Case: In this respect Kai what you really see is within the context of the exactly the priorities as Christa described our ability to actually return capital and actually strength of our business it’s pretty strong. And highlight the sudden acquisitions really across the board in the UK, New Zealand really in the U.S. surely really across the board. So our ability to strengthen the business and return substantial capital to share holders given our view on where we are on valuation and opportunity, we think is actually quite high.
Kai Pan – Morgan Stanley: Thank you last question. I just wondered if you could offer your opinion on the recent loadings on the ACA subsidiaries and what potential impact on the prior year’s tend to site?
Greg Case: Yeah from our standpoint as we said before, our focus really is on serving clients day in, day out and doing it sort of on the private side. We think the demand for that is actually quite high and will continue to be. And by the way demand is function of clients just want to do the right thing on behalf of their employees and doing in a way, that they, they create greater transparency, greater choice. And really changes in behavior that actually hopefully improved health of their employees and in doing so actually strengthen the capability of companies to sort of fund that in a regional and productive way. So that’s our focus that’s the area that Aon Hewitt spends all their waking hours thinking about as they think about exchanges as we said before. Lot of other things we do across business and I am not going to comment sort of on the public sector input on that because in our view the private sector demand is going to be quite high and that’s our focus.
Kai Pan – Morgan Stanley: Thank you so much.
Christa Davies: Thank you Kai.
Operator: Thank you. And at this time I’m showing no further questions. [Operator Instructions]. Thank you our next question comes from [indiscernible] from Columbia Management. Your line is open
Unidentified Analyst: Thank you very much for fitting me in I appreciate that so just a follow up on Kai’s question. So the normal and I know we can’t really be precise about this but the normalized tax rate was something like 22% or 22.5% last year I think if I have right that the first half discreet items in the tax rate. It sound like the normalized first half tax rate is something in the order of 21%. My first question is that right and then secondly we are still seeing tax rate decreases when you measure your tax plans and guided to 500 basis points or more. I guess there were certain activities you had in mind, certain strategies you had in mind. Have you essentially completed those activities or are there more things you can do?
Operator: One moment please. Sir please standby. I think we lost connection with speaker. Please standby. Thank you for standing by we are instructed by the speakers that today’s call has ended. If you have any further questions do please contact them. Again, I do apologize today’s conference call has ended for today. You may disconnect at this time.